Javier Garoz: Good morning and thank you for joining us in our Second Quarter Earnings Conference Call. Please proceed to Page 3. I will start with an overview of what has been achieved since our last call. It has been a quarter of solid execution and continuous growth. Regarding our solid execution, overall, we have reached strong levels of EBITDA and CAFD for the period. Our portfolio of assets has performed according to expectations. I am glad to announce the Board of Directors have approved a dividend of $0.40 per share meaning an 18% above the guidance of $0.34 we have provided for the second quarter. Thus, we are anticipating part of the $1.6 per share of dividend promise for 2015. In terms of executing previously announced transactions, we have closed the acquisition of all the assets, included in ROFO 3, which are Helios, Solnovas, the pending stake of Helioenergy and Kaxu. In addition, as per our commitments last fall, we have obtained the credit ratings from S&P and Moody’s, which have resulted in BB+ and Ba3 respectively. In relation to our ability to deliver continuous equity of growth, a few days ago we announced our fourth asset acquisition for a total price of approximately $370 million, generating $31 million of incremental CAFD before any related financial expenses. Firstly, the acquisition comprises the dropdown from Abengoa of Solaben 1 and 6. Two solar assets, very similar to the ones we already own. Secondly, after the project economics have improved significantly, we have closed the acquisition of Abengoa’s stake in ATN2, plus the stake of our financial investor, owning now 100% of this transmission line in Peru. And ultimately, we have reached an agreement to acquire a 13% of the stake owned by the Japanese firm, JGC in our asset Solacor, where we already own a 74%. These two last acquisitions are the first proof of a third-party acquisition. We expect to finance the three assets with the proceeds of the recently expanded revolving credit facility already signed with a syndicate of banks and cash on hand. We will continue pursuing third-party acquisitions through the end of the year within the target segments and geographies. Moving to Page #6, we will now review the quarterly results. In the first half of the year, our revenues and further adjusted EBITDA have reached $309 million and $265 million respectively, so a very significant growth in the range of 80% to 90% with respect to the same period of the previous year. In the six months period, we have also been able to generate $83 million of cash available for distribution. On Slide 7, you can see our revenues and further adjusted EBITDA breakdown by geography and business segment showing a strong performance across businesses and geographies quarter-after-quarter. We have experienced a very significant growth across all geographies, very much in line with our expectations. Looking at the results by business sector, in the renewable segment, we have had a very high growth, mainly driven by the assets we have acquired since our IPO and the entry into operations of Mojave. In the conventional segments, ACT in Mexico continues delivering excellent results. In the transmission segment, results have also been as expected. Moving to the next Slide #8, these results have been achieved due to a good operating performance of our overall portfolio. Within renewables, it is worth mentioning that Mojave has been reaching production levels well above 90% of its performance model, which reflects the production of what a fully optimized plant produces. This is an excellent result for a plant that has been in operation only since December and is now going through its first summer. Solana is also performing in line with its target having reached record daily productions above 4 gigawatt hour per day. Solar assets in Spain have been producing well above its target levels, with good radiation conditions throughout the period. On the other hand, wind assets in Uruguay have experienced a weak wind resource, particularly during the first quarter of the year. Similarly to what has happened in other areas of the Americas, but given it’s a small weight in the portfolio this did not have meaningful impact on us. Regarding our ability-based assets availability-based assets, which provide resilience to our portfolio. Performance has also been very solid. ACT our conventional power plant in Mexico continues showing excellent operating results. Our transmission assets have also show high availability numbers and the water assets have achieved availability levels in line with targets. I turn now to Eduard who will continue with our main financial figures.
Eduard Soler: Thank you, Javier. Going to Slide #9, regarding our cash flow generation, you consider we have achieved operating cash flow of around $79 million in the first half of the year and this is after deducting $151 million of interest payment, which includes a full semi-annual interest payment for the assets recently acquired. Our investing cash flow of $572 million corresponds mainly to the acquisitions completed during the period and the financing cash flow of $675 million corresponds mainly to the capital increase that we closed in May 2014 to finance those acquisitions. If we move to the next slide, regarding our financial position, we closed the first half of 2015 with around $155 million of cash at holdings level with a net corporate debt position of approximately $222 million corresponding to the Tranche A of our banking credit facility and to the 2019 bonds issuance. As Javier mentioned in the initial overview, we have increased our bank rate facility with a new Tranche B of up to $290 million to be used as a revolving credit facility to finance acquisitions. The numbers, as of June 2015 obviously do not reflect any amount of this Tranche B as it remained fully undrawn. We did levels of corporate leverage on considering our run rate CAFD before corporate interest, our corporate leverage is around 1.3 times, well below our target sailing of three times. If I move to the next slide, Slide 11, what you see there is net debt bridge where we show that our consolidated net debt position has gone from $3.8 billion to close to $5.1 million in December mainly driven by the acquisitions we have completed during the period. All the assets we have acquired come with its project finance in place. As a result, our project debt has increased by a total amount of close to $1.3 billion. It is worth noting that our corporate debt position has not increased during this period as we have financed our largest acquisitions with equity. And if we move to the Slide 12, as Javier also mentioned in the initial overview where you can see that the Board of Directors has approved a dividend of $0.40 per share for the second quarter, which is 18% above the initial guidance of $0.34 that we had provided for this second quarter. This way we are anticipating part of the $1.6 per share of dividend we have promised for the full year 2015.
Javier Garoz: Thank you, Eduard. We move now to Slide 14. In relation to acquisitions, we are going to start with an update on previously announced acquisitions. Specifically regarding ROFO 2, as you might recall, we have closed the drop down of Abengoa’s stake in Honaine and Skikda, two desalination plants in the north of Africa and the first 30% of Helioenergy. These three assets generate $9.4 million of cash available for distribution before acquisition financing, which represents an acquisition deal of around 10%. In addition, we have completed the acquisition of ATN2 as part of a much larger transaction we announced last Monday. The terms of this asset acquisition have changed with respect to what we announced in February. As revenue generation for the period has improved after the renegotiation with the off-taker and due to the acquisition of the stake in the project of our financial investor called Sigma, which was not previously part of the perimeter of this transaction. Regarding the dropdown of the 20% stake that Abengoa owns in Shams, the solar plant in Abu Dhabi, we have not secured all the necessary wavers at this point. Consequently, we have decided to put this acquisition on hold and considering it’s a small size, it has no impact on the guidance provided at all. Moving to the next slide regarding ROFO 3, all the assets part of a third drop-down from Abengoa have been already acquired. The remaining 70% is taking Helioenergy, the solar plants Helios and Solnovas and Kaxu in South Africa. This transaction has been closed at an acquisition deal of 9.4%. The CAFD generated by the euro denominated assets is hedged for five years by the currency swap at agreement signed with Abengoa that lock in CAFD at the exchange rate of the moment when we close the acquisition. This swap also covers all the euro-denominated assets in our portfolio. The acquisition of this group of assets has been financed as you all know with the proceeds of a capital increase closed in May. Going to the Slide #16, as mentioned earlier and continuing delivering on growth, we announced on Monday our fourth acquisition, which includes for the first time two acquisitions from third parties other than Abengoa. This fourth acquisition consist of, Abengoa’s stake in Solana 1 and Solana 6, a 100 megawatt solar complex collocated with Solana 2 and Solana 3 plants already owned by us what will generate important synergies in operation. The 100% of ATN2, I already mentioned, which is a transaction that is larger and more attractive than initially announced due to two main reasons. Higher revenues negotiated with the client and the acquisition of the stake owned by Sigma, our financial investor in the project, which was not originally foreseen. And finally, the agreement to buy an additional 13% stake in Solacor 1 and Solacor 2 from a Japanese firm JGC, where as you may recall we currently own 74%. Total consideration for these acquisitions will be $370 million, generating a run rate CAFD of $31.4 million, before acquisition financing expenses representing an acquisition deal of 8.3%. CAFD from Solaben 1 and Solaben 6 will also be covered by the currency swap agreements signed with Abengoa. We will fully finance this acquisition with our revolving credit facility, recently expanded, plus cash on hand. Then, when market conditions might be favorable, we will refinance the revolving credit facility most probably with long-term debt. It is clear that at current share prices we will not raise equity. We will update our 2016 dividend per share guidance as a result of this acquisition later in the year once we have closed the long-term financing to repay the revolving credit facility. Going to a Slide #17, with this fourth acquisition since our IPO, we have acquired $1.5 billion worth of equity in assets, mostly from Abengoa. Increasing our run rate CAFD before corporate interest by 85%, up to close to $290 million. Our acquisitions have been agreed at an average acquisition deal before the impact of any leverage of around 9%, which we consider is above industry average. In addition, we have performed all the acquisitions in industries and geographies where we have extensive experience over many years of operations and business. We continue growing being loyal to our DNA, disclosed at the IPO, counting with long-term contracts with credit worthy customers and a portfolio mostly denominated in dollars, having always project finance with non-recourse to the corporate level to isolate risk, while having a conservative leverage policy at a corporate level. All these together with the fact that we don’t have IDRs in our structure, positions ABY to continue delivering accretive growth to our shareholders as we become a larger company. In Slide 18, you can see an update of our pipeline of assets coming from Abengoa’s portfolio. As we acquire assets Abengoa has incorporated new assets under development that are all under our ROFO agreement and will be candidates for acquisitions, when they reach operation date. Since our last earning call, Abengoa has publicly disclosed that it has won new conventional power plant in Mexico and a transmission line in the United States. Sustaining the $350 million of cash available for distribution, that will be available for dropdown in the future. Going to our guidance in Page 20, today we reaffirm our guidance of $1.6 per share for 2015 and $2.10, $2.15 per share for 2016, what provides 30% growth year-over-year. This guidance will be updated after securing long-term financing for ROFO 4. Based on the visibility we have of the current pipeline of assets under operation construction or development by Abengoa, we also reaffirm our DPS growth target for 12% to 15% after 2016. We feel comfortable with what we consider a very conservative target and expect overachieving it in the future as we have done since the IPO. We will move now to Slide #21. And to finish this earnings call, I share with you a few remarkable points that makes Abengoa Yield notoriously different in this market and in my opinion a very attractive investment opportunity. First, positive economic results and cash flows have already been proved, over-delivering since the IPO. The strong performance of all our assets is the result of many years of expertise and a very committed team. Second, our existing portfolio will continue delivering strong cash flows in the future what provides Abengoa Yield with a very solid underlying value well above current stock prices. This fact makes Abengoa Yield a very attractive investment at this point in time. Third, in addition, the geographical diversification into countries with good track record of economic growth and political stability together with the nature of our contracted assets plays in our favor, contributing to the resilience of our business. Fourth, the number of ROFO assets brings significant visibility on growth, making cash flow generation highly predictable without the need to compete aggressively in the market and thus reducing the risk of overpaying for assets. Fifth, we have been strengthening our portfolio with continues dropdowns from Abengoa at a solid 9% acquisition deal above industry average. Six, driving with high beams into the future for the clear benefit of our shareholders, we have set a conservative policy around leverage with non-recourse debt at the project level and a moderate corporate leverage below three times cash available for distribution. With all these, I conclude the presentation of our second quarter results and leave the call open for questions. Let me suggest to make one concrete question at a time to facilitate adequate answers on our side. Thank you so much for your attention. And operator, we are ready for the Q&A.
Operator: The Q&A session starts now. [Operator Instructions] Our first question comes from the line of Andrew Hughes from Bank of America Merrill Lynch. Please go ahead.
Andrew Hughes: Good morning guys. Thanks for the question. Curious you mentioned looking potentially at third party acquisitions for the rest of the year, wondering what pro forma liquidity position is to go out and tackle that and how you would think about financing additional acquisitions going forward if there are some third parties?
Javier Garoz: Okay, thank you for your question. Well, at this point we are just exploring different market opportunities in line with our geographies and business segments. There is nothing to be close in the following weeks and therefore we don’t need additional liquidity, what we have today to conclude the acquisitions that we have announced. So, by the time, we could have any tangible acquisition to be closed, we would record again to the market to get the right financing or if we have already refinanced on the long-term basis, the acquisition of Solaben 1 and 6, we will come with the flexibility that the revolving credit facility allow us in terms of the capital in the acquisition on the financing timing in the market.
Andrew Hughes: Great, thank you. And then just a clarification on ROFO 2, the $9.4 million in incremental cash flow, that does not include contributions from ATN2, right, because that’s now included in ROFO 4?
Javier Garoz: No, exactly. The number has been done with the remaining assets on the ROFO 2 and ATN2 has been included in ROFO 4.
Andrew Hughes: Great. And then just one last one, in terms of Shams and the waiver issue there, is that a complication between you and Abengoa or something to do with the asset in particular? And just noticing the return profile over the last three acquisitions ROFO 2, 3, and 4 has compressed as your cost of capital has not necessarily declined, so thoughts there and if that’s anything to be concerned about in terms of relationship with Abengoa?
Javier Garoz: No, it’s not because of Abengoa, neither because of the asset, it’s just the shareholders, the other shareholders, which are not willing to, let’s say move on and facilitate this acquisition. That’s it.
Eduard Soler: Next question?
Operator: Our next question comes from the line of Stephen Byrd from Morgan Stanley. Please go ahead.
Stephen Byrd: Good morning. Good afternoon. I wanted to just make sure that I understood the leverage position from here in terms of your targeted debt level? And this is following up on the last question, in terms of additional acquisitions, how should we think about additional leverage versus equity? Would you imagine for future acquisitions that it would be a mixture of debt and equity or do you feel that even for future acquisitions even after the ones that you announced, that’s all debt – do you think you could potentially finance one or two additional acquisitions all with debt or how should we think about cap structure for future acquisitions from here?
Eduard Soler: Yes. With the existing leverage that we have, which is very [indiscernible] and you know that our target is go up to three. So, we thought with just that we could raise $500 million of debt easily without further acquisitions. And obviously that’s more than enough to refinance the proceeds that the price that we will pay now for the assets of the fourth dropdown. So, we will have plenty of space with our existing portfolio, pro forma of the fourth drop down to raise even more debt to do acquisitions and obviously when you do acquisitions that one brings extra CAFD that you can de-lever. So, on top of that, we have – we will have the revolving credit facility. So, to your question, yes, we could finance further acquisitions only with that obviously in the long-term like any of the yieldcos we will balance both debt and equity as we execute our growth plan.
Stephen Byrd: Understood. And then just on the returns on the dropdowns, we have seen a trend down someone in returns, so I do take your point that on average your yields on dropdowns have been above the industry average. Can you just talk about the rationale for the targeted yield that you have had on recent acquisitions given it’s a challenging environment in terms of the implied cost of capital for yieldcos overall? How do you think about that appropriate dropdown sort of in the future? Should we expect this trend downwards to continue or will it be really case-by-case depending on the asset? How should we think about that?
Javier Garoz: Well, we feel comfortable with an average 9% deal in our portfolio. Of course, it’s a case-by-case and it will depend on market situation. It is clear that we will always do a treaty of acquisitions and therefore there must be on a spread between the acquisition deals and the cost of financing would be equity or would be or would be a debt. And it is clear also that for example at current levels of the share price, we will not do any capital increase. And as Eduard was saying before, we will record to any kind of debt at the right time and when the market might be up a bit for that. So, I think at this point in time, we feel comfortable with the average yield that we are having throughout all the acquisitions we have done.
Stephen Byrd: Understood. That makes sense. And just last question, just on the relationship with the parent, there certainly in some investor questions about the financial strength of the parent. In the event of financial distress at the parent, can you remind us of how from Abengoa Yield shareholder point of view we should think about protection and certainty that these assets that are eligible will in fact be sold to Abengoa Yield?
Javier Garoz: Well, first of all, I am not really familiar with exactly what’s going on with Abengoa. So, I don’t want to extend much on that. And with regards to the hypothetical situation of our financial distress, I think we should keep in mind different considerations. First of all, the assets under construction right now, they are mostly financed through the warehouse. They have set with another financial investor, APW1. So, I foresee that somehow the financing for those projects is somehow secure and available for them to get to a final conclusion. Then in the situation in which Abengoa minor continue providing the operation and maintenance service for our assets, we can always record to the market, find for someone else doing that or takeover the operations directly. And keep in mind that we have strong cash flows coming from 20 assets in our portfolio, which has pretty strong underlying value and therefore our growth might be slightly impact, I say slightly because we always can record to the market for third-party acquisitions, but I don’t foresee any major inconvenience or stress for the ABY shareholders.
Stephen Byrd: That’s great. Thank you very much.
Javier Garoz: Thank you.
Operator: [Operator Instructions] Our next question comes from the line of Andy Gupta from HITE Hedge. Please go ahead.
Andy Gupta: Hi. Good afternoon, guys and congratulations on the quarter. I just wanted to walkthrough a quick math with you. I am trying to understand the $1.60 guidance. Based on your CAFD for the first half of $83 million and I assume that will continue the second half. I get a total of $1.66 and then if I add the additional ROFO 3 and 4 that you have announced that’s another 45 and I subtract additional interest expense, I get about 207 of CAFD and if I apply a 90% payout ratio, I get to about a $1.82 for dividends. So, one I wanted to see if ballpark this is right and second why maintain $1.60 after having increased your second quarter distribution?
Eduard Soler: The $1.60 per share guidance implies a CAFD for the year of $178 million or $180 million, okay. So, we are very well on track to reach that. But, you know that summer is a very important season in our business and before increasing our commitment to the market, we want to make sure that the thing works out properly. And we will go through the summer season with results similar to the ones who have been delivering up until now. So, we will delay the seasonal and potential increase of the $1.6 for later in the year.
Andy Gupta: That makes sense, Eduard. What about – what could impact your summer? Is it above or below long-term average on the solar? Is that what is a sticking point here?
Eduard Soler: Yes. We don’t expect any impact at all at this point, but just we prefer to be conservative and go through the summer. You know there is a peak in solar generation in summer time and therefore we want to see how all the assets are performing, how do we get closer to the end of the year, so that’s why we want to be conservative at this point.
Andy Gupta: I understand. And the impact for Shams is about $2 million in EBITDA for the full year, is that about right? I know it was a very small amount.
Eduard Soler: On EBITDA, is actually zero because it was an – we will not, it’s a 20%, so you don’t consolidate that stake in any case. In CAFD, it’s a very small impact, more than compensated by the better ATN2 that we just closed.
Andy Gupta: Understood. And one last thing is I just want to confirm again on our previous answer that you could raise based on the financing, after financing of this acquisition for, you still have capacity to raise another $500 million of debt to fund further acquisitions and still be within your leverage levels?
Eduard Soler: If you do the quick math, you know that we are close to $290 million of CAFD debt service, once accounted for this transaction and our target level of leverage is to be below 3. So if you do the math that means that we could raise $500 million counting on this portfolio and respecting our policy. We need much less to execute these transactions in order to refinance the dropdown – sorry the revolving credit facility we will use for the dropdown and then of course we would do an acquisition with that money. And that acquisition would bring extra CAFD that could be levered three times.
Andy Gupta: Got it. Well, thank you again.
Javier Garoz: Thank you, Andy.
Operator: Our next question comes from the line of Michael Morosi from Avondale Partners. Please go ahead.
Michael Morosi: Hi, thanks for taking my question. First off, one of the pushback that I have received from investors has related to the performance of concentrating solar projects. So, maybe if you could just speak about how your assets have performed over the quarter and what you guys are doing operationally to maintain a high level of output?
Javier Garoz: Okay. Well, of course, CSP is much more difficult to manage than PV, that’s quite obvious, nothing new under the sun. Having said that, we have been operating CSP plants for the last 15 years, especially with parabolic trough, which we consider is very consolidated technology in the market, not only owned by our sponsor Abengoa, but also by other participants and competitors in this market. So, it is true that it is more difficult, but it doesn’t mean it’s an impossible mission. So, going through the summer time, our assets are performing pretty good at this point. Radiation has been higher in some parts than expected. And therefore, our European assets are above 100% of the expectation. When looking at the assets in the United States, I think as I mentioned before, we are pretty comfortable with the ramp up of Mojave, which has achieved about 95% performance over the last two months, which is pretty good. And Solana is starting to generate up to record levels of, as I said before, 4 gigawatt hour of production in the last days. So, I think in general, all our CSP portfolio is performing even above expectations.
Michael Morosi: Okay, thank you. And then as it relates to your third-party acquisition strategy and just looking at the evolution of your portfolio as you progressed through the ROFOs, it seems like conventional assets and transmission assets are going to take a larger percentage of your overall CAFD and portfolio. So, I would just like to see how that will in turn influence maybe the assets that you pursue in terms of the M&A and the different markets and the different segments that you are pursuing and what that could mean for – for transaction yields?
Javier Garoz: Well, I am not sure if viewers anticipating there will be a much higher weight of conventional generation and transmission line in our portfolio. It will depend on what speed Abengoa is dropping down those assets after completion and it is true that we are trying to find synergetic assets, which might be adjacent transmission lines to the ones we already own in Chile or Peru or any other type of generation assets that might generate some kind of synergy cost benefit or similar when operating with our existing assets. So it’s not easy. We feel we are not forced to do acquisitions at any price and we feel comfortable that we can deliver the growth and the DPS we promise with the existing portfolio and therefore we will be cautious when acquiring assets. We are looking at right now different alternatives in South and North America. Some other parts of Europe might be a target, not clear, because they have to be mostly in U.S. dollars. And there would be other opportunities in other markets in Africa as well, but it’s still unclear.
Michael Morosi: Alright. Thanks for the questions. Great quarter.
Javier Garoz: Thank you.
Operator: Our next question comes from the line of John Quealy from Canaccord. Please go ahead.
John Quealy: Hey, good afternoon folks. So, in terms of your plans and the Abengoa’s plans to dropdown assets, given some of the liquidity concerns that debtholders have had over that stock recently, what’s the likelihood that you could accelerate ROFOs, Javier, in the next couple of years and just if you walk us through some scenarios there? Thanks.
Javier Garoz: Well, I would like to accelerate ROFOs, but I don’t think it’s going to be up to us just exclusively, John. So, it will be mostly dependent on Abengoa and the speed at which they can execute the completion of the projects. From what it refers to our capability to acquire, of course it’s going to depend on how the stock is trading, of course, at the current prices is going to be difficult to make any capital increase and to do accretive acquisitions and how open the debt markets are going to be. So, I think it will depend mostly on the market to get the financing for acquiring the ROFO – sorry, the ROFO assets, but mostly it will depend on Abengoa to speed up the execution of those assets.
John Quealy: Alright, great. Thanks, folks.
Javier Garoz: Thank you, John.
Operator: Our next question comes from the line of Andrew Hughes from Bank of America Merrill Lynch. I am sorry. Our next question comes from the line of Chris Malone from Palmerston Capital. Please go ahead sir.
Chris Malone: Good morning guys. I was just wondering if you could give us some detail on the fees in relation to the service agreement on the Spanish assets in ROFO 3 and 4 given that we have so many Spanish assets now? Hello? Did you get that?
Javier Garoz: Yes, Chris. Yes.
Chris Malone: Okay, thanks.
Javier Garoz: We got it. Well, we got a service support agreement with Abengoa, because some let’s say commodity activities, let me call, are subcontracted to Abengoa and this is why we are paying a service report fee to Abengoa. I am talking about accounting and some kind of tax support and things like that, but apart from that, I am not aware of any other additional fee. I don’t know if you have something specific?
Chris Malone: No, no. Just I noticed at the time of the IPO that the service fees is payable to Abengoa on the non-Spanish assets is 1% and for the Spanish assets it was 2.5%. And specifically related to the assets that we are in ROFO 3, in your 6-K filing, it seems like there was a 15% of revenue fee paid to Abengoa. I was just wondering is that part of the old regime that’s going to be re-struck at a new level, just trying to get a sense from what...
Eduard Soler: Each asset is different in that regard. And you are correct some assets pay 1%, some of the initial Spanish assets that we had in our portfolio were paying closer to 2%, but that’s different in adjusted earnings. And in the new ones, it tends to be in the lower side.
Chris Malone: I am sorry, I missed that last bit it tends to be what? Sorry.
Eduard Soler: In the low side of that range.
Chris Malone: Okay, of the 1 to 2, great. Thanks very much. And maybe just one more question, the revolver that’s recently been upsized, is there a clean down provision in that?
Eduard Soler: You mean a period after where we could not redraw again only if after paying it down?
Chris Malone: Once annually, where you have to train it down, pay it off and before you can redraw it okay, right.
Eduard Soler: No, no. When we repay, we need to wait, I think its 10 business days to redraw again, but it’s a very minor thing.
Chris Malone: Okay. And maybe, if you don’t mind, one last one, the third-party transactions that you have just done, where they executed in relation to any tag along rights or put called structures or would you just go in unsolicited, okay?
Javier Garoz: No, it was an unsolicited proposal.
Chris Malone: Okay.
Javier Garoz: They affected and we closed the deal.
Chris Malone: Great, okay. Thanks very much.
Javier Garoz: Thank you, Chris.
Operator: Our current last question comes from the line of Andrew Hughes from Bank of America Merrill Lynch. Please go ahead.
Andrew Hughes: Hi, team. I just had a quick follow-up on one of the earlier questions about scenarios of consent financial distress at the parent and how that might impact their ability to complete projects going forward. If I look on Slide 18 and the list of sort of your replenished ROFO opportunity set, can you give us a sense for what in the 2016 to 2020 timeframe for assets coming online? What is being built within the warehouse, what is not? So, just we have a sense of what assets are sort of not sensitive to true financial distress at the parent. Thanks.
Javier Garoz: Yes. Well, I would love being able to answer that, but I think this is more a question for Abengoa I guess, because you are asking, which of those are part of the APW 1 or which ones will be part of any other warehouse that might be working on right now and this is an answer of that regretfully we don’t have.
Andrew Hughes: Alright, understood. Thanks.
Javier Garoz: Thank you.
Operator: [Operator Instructions] There are no further questions at this time. There are no further questions.